Operator: Welcome to ManpowerGroup's Fourth Quarter Earnings Results Conference Call. You'll be put in a listen-only mode until the question-and-answer time begins. This call is being recorded. If you care to drop off now, please do so. I would now like to turn the call over to ManpowerGroup's Chairman and CEO, Mr. Jonas Prising. Sir, you may begin.
Jonas Prising: Welcome, and thank you for joining us for our fourth quarter 2024 conference call. Our Chief Financial Officer, Jack McGinnis, is with me today. And for your convenience, we have included our prepared remarks within the Investor Relations section of our website at manpowergroup.com. I will start by going through some of the highlights of the quarter and the full year, then Jack will go through the fourth-quarter results and guidance for the first quarter of 2025. I will then share some concluding thoughts before we start our Q&A session. Jack will now cover the Safe Harbor language.
Jack McGinnis: Good morning, everyone. This conference call includes forward-looking statements, including statements concerning economic and geopolitical uncertainty, which are subject to known and unknown risks and uncertainties. These statements are based on management's current expectations or beliefs. Actual results might differ materially from those projected in the forward-looking statements. We assume no obligation to update or revise any forward-looking statements. Slide 2 of our earnings release presentation further identifies forward-looking statements made in this call and factors that may cause our actual results to differ materially and information regarding reconciliation of non-GAAP measures.
Jonas Prising: Thanks, Jack. Last week I attended the World Economic Forum Annual Meeting in Davos, Switzerland. This gathering of business and government leaders from various countries offered an opportunity to connect with CEOs, policy-makers, and thought leaders involved in areas relevant to our business. My main insights from this year's meeting focused on two themes: the global economic outlook across regions and harnessing the potential of AI. The unpredictable economic and geopolitical global outlook was a key theme. The sentiment amongst business participants with regards to the U.S. economic outlook appears to have improved, especially among U.S. organizations. In contrast, concerns over European economic growth were evident, with leaders noting the continued weakness within the EU and in Northern Europe specifically, and the urgent imperative of getting back to economic growth that keeps pace, or reduces the gap, with the U.S. and China. Since we have seen this gap reflected in our own business and the staffing industry more broadly, I am encouraged that addressing the competitiveness of Europe has become an important priority for policymakers in that region. An action plan for growth was presented and we are pleased by this urgency and alignment, along with the helpful backdrop of lower inflation and interest rates trending in the right direction in Europe. The other main theme was the continued optimism and belief that the broad adoption of AI can generate significant growth opportunities for companies and nations. While last year's focus was on adopting GenAI across enterprises, this year's discussions centered optimistically on how to translate adoption to business impact and productivity gains. We see a clear tension between employers and employees in this regard, with approximately half of business leaders believing AI will translate to business growth this year and 50% of workers are fearful of the impact of AI on their roles. Ensuring people have the skills to maximize tech investments and leaders bring their workforce along during the transition is critical to realize the potential of AI. This continues to be an area of significant promise for our own productivity enhancement and revenue growth. Our Experis Tech Talent Outlook found 58% of employers believe AI will be a job creator and many of them are training their current workforce to address tech staffing challenges. We aim to exploit this opportunity by providing re-skilling and upskilling solutions to our clients and candidates as they strive to fill roles requiring different and increasingly specialist skills. Turning to the current environment, our most recent ManpowerGroup Employment Outlook survey of 40,000 employers supports the need for specialized skills, employers report cautious yet steady hiring intentions for the three months ahead with many prioritizing retention and attraction of workers with an adaptable mindset to adjust to the evolving requirements. Second, data skills remain in high demand across industries, and we see growing focus on the soft skills that enable businesses to unlock growth. Consistent hiring intentions, particularly among larger organizations, points to stability and we hope to see this trend continue throughout 2025. Based on our 75-year history, we are experienced at navigating various economic cycles, and in periods like this we are constantly positioning the business to be able to manage our productivity and accelerate into recovery. Though we are seeing our industry affected in some new ways compared to previous downturns, particularly labor hoarding post-pandemic, coupled with a prolonged hesitancy from employers due to the uncertain economic and geopolitical landscape, we remain convinced that traditional industry dynamics will play out over time in both North America and Europe. To that point, although still in the early stages, we are seeing some encouraging performance in parts of our business. Specifically, our U.S. Manpower brand, which is typically on the leading edge of recovery, has crossed over to growth in the second half of 2024, and similarly, our Talent Solutions business globally has also crossed over to growth in the same time period. Sustaining these trends will be an important next step and we will be monitoring the evolution closely as we move forward into 2025. Now to our results. In the fourth quarter, revenue was $4.4 billion, down 3% year-over-year in constant currency. Our reported EBITA for the quarter was $76 million. Adjusting for restructuring costs and other special items which we will cover in the financial review, EBITA was $94 million, representing a decrease of 12% in constant currency year-over-year. Reported EBITA margin was 1.7%, and adjusted EBITA margin was 2.1%. Earnings per diluted share was $0.47 on a reported basis, while earnings per diluted share was $1.02 on an adjusted basis. Adjusted earnings per share decreased 27% year-over-year in constant currency. In the fourth quarter, staffing gross profit margins remained solid in a challenging environment. From a geographic perspective, we saw the continuation of a challenging environment in Europe and North America during the quarter, while demand for our services in LATAM and APME remained good. Turning to the full-year results for a few moments, reported earnings per share for the year was $3.01. As adjusted, earnings per share was $4.55 and represented a constant currency decrease of 21%. Revenues for the year decreased 3% in constant currency to $17.9 billion and reported EBITA was $339 million. And as adjusted, EBITA was $403 million, which represented a 15% constant currency decrease year-over-year. I will now turn it over to Jack to take you through the results in more detail.
Jack McGinnis: Thanks, Jonas. Going back to the quarterly results on Slide 3, revenues in the fourth quarter were significantly impacted by the strengthened U.S. dollar and after adjusting for currency impacts came in slightly above the mid-point of our constant currency guidance range. Gross profit margin came in at the low end of our guidance range. As adjusted, EBITA was $94 million, representing a 12% decrease in constant currency compared to the prior year period. As adjusted, EBITA margin was 2.1% and came in at the low end of our guidance range, representing 40 basis points of decline year-over-year. Foreign currency translation drove a 2% unfavorable impact to the U.S. dollar reported revenue trend in addition to the constant currency decrease of 3%. Organic days-adjusted constant currency revenue decreased 2.5% in the quarter, which was favorable to our guidance of a 4% decrease on this same basis. Turning to the EPS bridge, reported net earnings per share was $0.47. Adjusted EPS was $1.02 and came in very close to the midpoint of our guidance range. Walking from our guidance mid-point of $1.03, our results included a slightly lower operational performance of $0.01, a lower weighted average share count due to share repurchases in the quarter which had a positive impact of $0.01, a slightly lower tax rate which had a positive $0.02 impact, and a foreign currency impact that was $0.03 worse than our guidance. Restructuring costs and other items represented $0.55 resulting in the reported EPS of $0.47. Next, let's review our revenue by business line. Year-over-year, on an organic constant currency basis, the Manpower brand declined 1% in the quarter, the Experis brand declined by 6%, and the Talent Solutions brand had a revenue increase of 6%. Within Talent Solutions, our RPO business experienced a year-over-year revenue increase which was an improvement from the trends in the third quarter. Our MSP business recorded a strong double-digit revenue increase compared to the prior year, while Right Management experienced a year-over-year revenue decline in the quarter as outplacement activity began to slow. Looking at our gross profit margin in detail, our gross margin came in at 17.2% for the quarter. Staffing margin contributed a 30 basis point reduction due to mix shifts, lower bench utilization in December in select countries, and lower volumes while pricing remained stable. Experis Services contributed a 10 basis point reduction due to lower volumes. Other items resulted in a 10 basis point margin increase. Moving onto our gross profit by business line, during the quarter, the Manpower brand comprised 59% of gross profit, our Experis professional business comprised 23%, and Talent Solutions comprised 18%. During the quarter, our consolidated gross profit decreased by 4% on an organic constant currency basis year-over-year, representing a stable trend from the 4% decline in the third quarter. Our Manpower brand reported an organic gross profit decrease of 3% in constant currency year-over-year, a slight decline from the 2% decrease in the third quarter. Gross profit in our Experis brand decreased 11% in organic constant currency year-over-year, a slight improvement from the 12% decrease in the third quarter. Gross profit in Talent Solutions increased 7% in organic constant currency year-over-year, representing ongoing growth although at a slightly lower pace from the third quarter increase of 9%. RPO and MSP saw improved year-over-year gross profit growth in the fourth quarter compared to the previous quarter, while Right Management's gross profit declined slightly. Reported SG&A expense in the quarter was $687 million. SG&A as adjusted was down 4% year-over-year on a constant currency basis and down 3% on an organic constant currency basis. The year-over-year SG&A decreases largely consisted of reductions in operational costs of $20 million. Underlying corporate costs continue to include our back office transformation spend and these programs are progressing well with expected medium and long-term efficiencies. Currency changes also contributed to a $7 million decrease. Adjusted SG&A expenses as a percentage of revenue represented 15% in constant currency in the fourth quarter. Adjustments represented restructuring costs of $16 million and a loss on sale related to our Austria business recorded an SG&A of $2 million. The Americas segment comprised 24% of consolidated revenue. Revenue in the quarter was $1.1 billion, representing an increase of 7% compared to the prior year period on a constant currency basis. As adjusted, OUP was $39 million and OUP margin was 3.6%. Restructuring charges of $4 million largely represented the U.S. and Canada. The U.S. is the largest country in the Americas segment, comprising 65% of segment revenues. Revenue in the U.S. was $692 million during the quarter, representing a 1% days-adjusted decrease compared to the prior year. This represents an improvement from the 4% decline in the third quarter as Manpower and Talent Solutions growth partially offset a decline in Experis. As adjusted, OUP for our U.S. business was $19 million in the quarter. As adjusted, OUP margin was 2.8%. Within the U.S., the Manpower brand comprised 26% of gross profit during the quarter. Revenue for the Manpower brand in the U.S. increased 2% on a days-adjusted basis during the quarter, which was an improvement from the 1% increase in the third quarter. The Experis brand in the U.S. comprised 39% of gross profit in the quarter. Within Experis in the U.S., IT skills comprised approximately 90% of revenues. Experis U.S. revenue decreased 6% on a days-adjusted basis during the quarter, an improvement from the 11% decline in the third quarter. Talent Solutions in the U.S. contributed 35% of gross profit and saw a revenue increase of 16% in the quarter, an improvement from the 10% increase in the third quarter. RPO experienced double-digit revenue increases in the U.S. reflecting increased activity in select client programs. The U.S. MSP business executed well during the quarter posting strong double-digit revenue increases as well, while outplacement activity within our Right Management business was down slightly year-over-year as outplacement activity slowed. In the first quarter of 2025, we expect the rate of revenue decline to range from similar to a slight further decline than the fourth quarter trend for our overall U.S. business. Southern Europe revenue comprised 47% of consolidated revenue in the quarter. Revenue in Southern Europe was $2 billion, representing a 3% decrease in constant currency. As adjusted, OUP for our Southern Europe business was $73 million in the quarter and OUP margin was 3.6%. Restructuring charges of $2 million primarily represented actions in Spain and Italy. France revenue comprised 56% of the Southern Europe segment in the quarter and decreased 7% on a days-adjusted constant currency basis. As adjusted, OUP for our France business was $36 million in the quarter. Adjusted OUP margin was 3.2%. Activity to date in January is lower than the trends experienced in the fourth quarter, and we are cautiously estimating the first quarter trend to reflect a slight further decline from the fourth quarter trend. Revenue in Italy equaled $419 million in the fourth quarter reflecting a decrease of 1% on a days-adjusted constant currency basis. OUP equaled $26 million and OUP margin was 6.3%. We estimate that Italy will have a similar to slightly improved revenue trend in the first quarter compared to the fourth quarter. Our Northern Europe segment comprised 17% of consolidated revenue in the quarter. Revenue of $768 million represented a 16% decline in constant currency. As adjusted, OUP was a $10 million loss. This is the most challenged part of our business, subject to low economic growth rates with many markets operating a bench model, which creates higher financial and operational pressures than we see in other markets. The majority of the restructuring charges of $6 million was recorded in Germany, with modest additional charges in the Netherlands, Sweden, and the U.K. Our largest market in the Northern Europe segment is the U.K., which represented 34% of segment revenues in the quarter. During the quarter, U.K. revenues decreased 22% on a days-adjusted constant currency basis. The U.K. market continues to be very challenging, and we expect the rate of revenue decline to continue to be similar in the first quarter compared to the fourth quarter. In Germany, revenues decreased 24% on a days-adjusted constant currency basis in the quarter. Germany manufacturing trends have been weak driving further declines. In the first quarter, we are expecting a similar year-over-year revenue decline compared to the fourth quarter trend. The Nordics continue to experience very difficult market conditions with revenues decreasing 21% in days-adjusted constant currency in the quarter. Within the Nordics, Sweden is experiencing the largest declines based on a weak manufacturing environment and the adjustment to new temporary worker term limits discussed last quarter. The Asia Pacific Middle East segment comprises 12% of total company revenue. In the quarter, revenues equaled $522 million representing an increase of 7% in organic constant currency after incorporating the sale and franchising of our South Korea business which completed as expected on November 1st. As adjusted, OUP was $27 million and OUP margin was 5.1%. Restructuring charges of $1 million relate to the actions taken in our New Caledonia business. The largest market in the APME segment is Japan, which represented 57% of segment revenues in the quarter. Revenue in Japan grew 7% on a days-adjusted constant currency basis. We remain very pleased with the consistent performance of our Japan business, and we expect continued strong revenue growth in the first quarter. I'll now turn to cash flow and balance sheet. In full year 2024, free cash flow equaled $258 million compared to $270 million in the prior year. In the fourth quarter, we drove a strong finish to the year and free cash flow represented $236 million and compares to $91 million in the prior year. At year-end, days sales outstanding decreased by about three days to just under 52 days. During the fourth quarter, capital expenditures represented a $11 million. During the fourth quarter, we repurchased 552,000 shares of stock for $34 million. As of December 31, we have 2.6 million shares remaining for repurchase under the share program approved in August of 2023. Our balance sheet ended the quarter with cash of $509 million and total debt of $953 million. Net debt equaled $443 million at quarter-end. Our debt ratios at year-end reflect total gross debt to trailing 12 months adjusted EBITDA of 2.1% and total debt to total capitalization at 31%. Our debt and credit facilities arrangements are displayed in the appendix of the presentation. Next, I'll review our outlook for the first quarter of 2025. Based on trends in the fourth quarter and January activity to date, our forecast is cautious and anticipates that the first quarter will continue to be challenging in Europe. When considering our guidance for the first quarter, it is also important to note the following unique considerations which drive lower revenue and earnings per share impacts year-over-year. One, the strengthened U.S. dollar has created a significant year-over-year negative foreign currency translation impact; two, there are less working days in the first quarter of 2025, driven by the leap year in the prior year; three, there is always a meaningful sequential seasonal decrease in earnings from the fourth quarter to the first quarter; four, the prior year period benefited from an unusually low effective tax rate and the current tax rate guidance is more aligned to the expected full-year rate. Because the first quarter is typically the lowest earnings level of the calendar year, these impacts have a more significant impact on the first quarter's earnings than would be the case in other quarters. With that said, we are forecasting earnings per share for the first quarter to be in the range of $0.47 to $0.57. The guidance range also includes an unfavorable foreign currency impact of $0.06 per share and our foreign currency translation rate estimates are disclosed at the bottom of the guidance slide. Our constant currency revenue guidance range is between a decrease of 5% and 9% and at the midpoint is a 7% decrease. Considering a slightly lower number of working days and the impact of our dispositions, our organic days-adjusted constant currency revenue decrease represents 5% at the midpoint. EBITA margin for the first quarter is projected to be down 30 basis points at the midpoint compared to the prior year. We estimate that the effective tax rate for the first quarter will be 36% which reflects the overall mix effect of lower earnings from lower tax geographies in the current environment as well as the impact of valuation allowances in certain markets that will reverse in the future when those markets rebound. We estimate 36% for the full-year effective tax rate as well. As the Government of France has not enacted any of their previously proposed corporate tax changes, we have not incorporated any increase in France corporate taxes into our guidance. In addition, as usual, our guidance does not incorporate restructuring charges or additional share repurchases and we estimate our weighted average shares to be 47.5 million. I will now turn it back to Jonas.
Jonas Prising: Thank you, Jack. In late 2019, we recognized that we were operating in a new environment and that to continue to be successful, we needed a refreshed strategy to respond to tech acceleration, structural talent scarcity, and increasing demand for specialist talent. This context persists today, our latest Talent Shortage survey of 38,000 employers found talent shortages remain very high, with 74% of companies struggling to find the skilled, specialist talent they need to be successful, up from 36% a decade ago. To position us for success, we introduced our DDI Strategy, Diversification, Digitization, and Innovation with three clear objectives: strengthen EBITA, grow our overall revenues at/or above market, and position our company for many more successful decades to come. Diversification includes increasing the weighting of higher-margin offerings across each of our strong and distinct brands, Manpower, Experis & Talent Solutions enabled by data-driven insights informing us where we need to move the needle to win in the market. Our data tells us where we can expect to see growth by industry and we have evolved our organizational structures to create even deeper vertical expertise across targeted industries, including consumer goods, financials and real estate, healthcare and life sciences, industrials, and tech with talented teams equipped with the insight and specialist offerings to win in priority segments. This combined with our AI-enabled dashboards sourced from our data platforms enable us to track industry trends even more closely, reducing volatility to market variances, enabling greater agility to pursue new market opportunities, and prioritizing our sales teams' time on the opportunities that will provide the greatest business impact. Digitization is a key enabler for productivity and innovation, providing the data and insights that create greater value for our clients and candidates while leveraging analytics and AI to drive recruiter productivity and improve the candidate journey. We are pleased with our progress in this area. Our industry-leading technology platform PowerSuite enables us to harness our rich, high-quality global data together with AI to focus our activities where they will make the most impact, unlocking candidate potential and enabling our talent agents and recruiters to focus their time on mentoring, coaching, and guiding the millions of candidates we interact with each year. Despite the challenging market conditions in 2024, we made good progress on executing our DDI strategies and competed well in many markets, setting us up for continued progress into 2025 and beyond. We continue to take a laser-focused approach to managing costs, adjusting to the current environment in many markets, while maintaining our investment in technology and digitization and retaining the talent we need for improved competitive performance. A big thank you to our teams around the world for all they do each day to connect even more people to meaningful work and to our clients and candidates for trusting us as their workforce and career partners. I would now like to open the line to Q&A, operator?
Operator: [Operator Instructions] Our first question comes from Andrew Steinerman with JPMorgan. Your line is open.
Andrew Steinerman: Hi, Jack. I'm really just going to ask you to repeat the bridge between the adjusted $1.2 that we just reported and the midpoint $0.52 guided for the first quarter. I know you're guiding for bigger revenue declines and first quarter is a naturally seasonally skinny quarter, so that revenue effect has more of an SG&A effect. But just if you could walk us through from the $102, like what would be a normal seasonal first-quarter EPS, and then layer on the factors that you gave in the prepared remarks?
Jack McGinnis: Thanks for the question, Andrew. I guess, I'd like to start in explaining that with the EBITDA margin, which is what it all is driven by. And as we look sequentially from Q4 to Q1, and as you referenced, my prepared remarks walk through some of the considerations as we start the year from when we ended the year. But we're effectively moving down 60 basis points sequentially from the 2.1% that we just posted to the guide of 1.5%. And I'd say that is in line with what we've seen traditionally as we end the year and start the year. If you go back to the last two years, we were down about 70 bps sequentially from Q4 to Q1, take the pandemic years out of the mix. And if you go back to pre-pandemic, we've been down 130 bps at times. So, it really just kind of depends on what's happening. Where we are now in line with what we talked through, I'd say underlying levels are generally stable across a lot of our large markets in Europe and North America. We did call out a couple of areas where perhaps there is a little more pressure going into Q1 and we did say we're a bit cautious on France currently. But I'd say when you put all that together, that is what is driving, the sequential drop down in the bottom line. It's driven by the EBITDA dollars, EBITDA margin that's coming. I think on the revenue side, I think we also laid out the revenue is impacted significantly by net disposition. So we talked about Korea and then we just announced Austria as well as part of our disposition. That would not have been in our previous -- in what people were looking at in terms of expectations for Q1. So now that's being introduced and we have less days. And so we've talked about that as well. So I think when you put all that together, our revenue trend on an organic days adjusted basis is down in a range of about 2% sequentially. And I think as you consider that, you can think about APME and LatAm, which is seeing a traditional lack of seasonality going into the first quarter from the fourth quarter as a lot of that Q4 work -- seasonal work runs off and we start the year again and reset a lot of those quarterly contracts. A bit of that in the U.S. as well. We had a relatively good Q4 in Talent Solutions on some select RPO programs that drove revenues and in Manpower had an encouraging strong second half of the year in the U.S. as well and we see as we move into Q1 traditional seasonality and the reset of some of those contracts as well. And we don't mention it much, but Canada would be another one that's seeing a bit of an impact based on the pullback on the government public sector spend, particularly on the Experis side. So I'd say those are the main drivers when we think about revenues and bottom-line earnings.
Andrew Steinerman: Great. Thanks for the details.
Operator: Thank you. Our next question comes from Manav Patnaik with Barclays. Your line is open.
Princy Thomas: Hi, good morning. This is Princy Thomas on for Manav. Thanks for taking my question. So I wanted to dig into the macros. If they stay bad as they are, what actions will Manpower take to rightsize? And when do you typically decide that?
Jonas Prising: Thanks for the question, Princy. I'd say, you saw that we took some additional actions in Q4. As we look at the environment and to your question, clearly, we're seeing a lot of pressure in certain markets in Northern Europe. And that's where when we look at the actions we've been taking are the most significant. And I'd say they pretty much follow what you're seeing in terms of the revenue trends. So as we look at FTEs and cost reductions, Northern Europe in the fourth quarter is down 15%, so very much aligned to what we've been seeing there in the revenue trends. In Southern Europe, you'd see more mid-single-digit percentage declines kind of in line with what we're seeing in certain markets in France and elsewhere. And I'd say similar in the U.S., continuing to take actions to preserve bottom line to the greatest degree possible. But at the same time, making sure we have enough capacity on sale so that we're ready for the uptick when it begins. We did talk about the progress we're seeing in U.S. Manpower, which is really encouraging. And then we're also continuing to spend on our transformation programs. And we've been very consistent on that as well. So that continues to be an ongoing focus for us and is in the run-rate and you can see that in our corporate run rate even though we pulled back in other areas to make sure we have continued capacity to continue to spend on those transformation programs. But that will continue during 2025. So I think when you put all that together, you'll see that we're taking actions in the markets that are impacted the most while making sure that we're preserving capacity for sales in the markets, we believe we'll be very well-positioned to take market share when demand comes back.
Princy Thomas: Got it. And then switching over to more about the transitions. MAN has been leading in tech, but I wanted to know if there is any use cases in GenAI being an enabler for Manpower and also any competitive threats that you're seeing within the space.
Jack McGinnis: Thanks for the question, Princy. We -- as we mentioned in our prepared remarks, this was a big theme amongst all of the companies in the meeting that I attended a few weeks ago. And I would say that many companies are investing in AI. They believe in the tremendous opportunity ahead, but they have yet to see any meaningful impact at scale. And a lot of that has to do with putting the right talent with the right skills in combination with GenAI. And from our perspective, we have been preparing for this kind of technology evolution and we're very pleased to see point-to-point solutions on what recruiters can do much faster from a productivity perspective, be that in reviewing candidate resumes, identifying the best fit for those candidates to the job orders and automating parts of the process. But I'd say that we are very much still at the beginning of this evolution. And it's a very exciting evolution because we are able to take our global infrastructure and technology platforms that generate significant rich data to inform and feed those models so that we can keep honing and driving greater productivity, identifying revenue growth opportunities, which we've already seen some good indications of where the likelihood is for growth and we focus our sales efforts there. But it is right at the beginning, we're extremely well-placed to take advantage of this and we're excited about the opportunity. Ultimately though, the last-mile delivery and the judgment, and the human capabilities is what makes the difference. And that's why we're also investing in our talent agents and our recruiters, both to help them adapt to make data-driven decisions, but fully leverage the tools and the insights that those tools generate to drive actions that may be different from what they traditionally would have experienced or done if they just were to go on experience and instinct. So we're very encouraged. It's early days and I think we're right where we want to be in terms of being very well-placed to take advantage of this evolution as it continues.
Princy Thomas: Appreciate the color.
Operator: Thank you. Our next question comes from Mark Marcon with Baird. Your line is open.
Mark Marcon: Good morning, Jonas and Jack. Thanks for taking my questions. With regards to the U.S., you mentioned that there is an increasing level of confidence and we've certainly seen that in certain surveys. I'm just wondering, is this -- have you seen any indication that it's actually translating to an increase in orders? Can you give us any sense for what's happened post-election with regards to just order volume, tone of discussions with clients, anything along those lines, both in terms of the Manpower brand as well as Experis?
Jonas Prising: Thanks, Mark. Yes. As we said in our prepared remarks, the tone has changed, and the level of optimism or hope is palpable, but it has yet to translate into anything meaningful in terms of change in employer behavior. So it's all about employer confidence and we are hopeful that given the overall sentiment, this increased employer confidence translates in an increase in demand over time, but it's really too early to see any effects of that yet. As you point out, we're pleased to see that our Manpower business turned to growth and in the second half of the year, which we think is positive. We're very encouraged to see that U.S. PMI is getting closer to 50, which is another positive aspect. So there are some indicators and signals that could say it's starting to move. Manpower tends to be the brand leading the way in terms of the rebound from a cyclical industry cycle. And from an Experis perspective, we're really not seeing any change in terms of demand. It is stable at lower levels. We can still see a challenging demand environment as it relates to enterprise clients. Although our convenience clients are faring a little bit better, they're holding up better. It's still a low-demand environment for both Manpower and Experis, but we're seeing -- we're seeing some degree of, shall we say, optimism looking ahead as it relates to the U.S.
Mark Marcon: Thanks for that. And then with regards to Europe, obviously, it's been difficult for multiple years. You mentioned at Davos that there were -- there was an increased sense of urgency. I mean, from your perspective, how long before we actually start seeing some improvement in the underlying on macro? Obviously, we're going up again -- we'll increasingly go up against easier and easier comps. But just in terms of getting to an inflection, what would be some of the catalysts that we should look for? And I'd be particularly interested in any comments with regards to France, particularly given their fiscal deficits, and any commentary -- any more commentary with regards to like the prospects in terms of the French tax rate?
Jonas Prising: Okay. Well, stepping back, looking at Europe as a whole for many of you on the call who have been tracking Europe, you'll be somewhat surprised to see that it's really shifted between Northern Europe and Southern Europe. Northern Europe used to be the engine of growth and Southern Europe was always trailing behind. And right now, it's exactly the opposite, which is precisely what we're seeing in our business as well. Italy and Spain and others are actually growing and growing well and maintaining profitability, yet Northern Europe is struggling significantly. And I would say this, Mark, there are a number of factors that of course is impacting the performance, in particular Northern Europe, which for us, of course, makes it even more difficult because many of the countries in Northern Europe operate bench models. So when volumes go down, it's difficult for us to quickly adjust our cost base so that we can mitigate the impact of that drop in demand. But Europe has been hit over the past couple of years with continued economic slippage against other nations, China, the U.S. It's undergoing a significant environmental transition and which is costing a lot of money and causing industry troubles in terms of the cost of energy being high. And then, of course, the Ukraine war, which is another disrupting factor. So these are elements that are really weighing, especially on Northern Europe, in particular, on Germany, which used to be the engine of growth, has seen the longest post -- post-war industrial decline in terms of length of time. But I would say this, aside from the clearly beneficial effect of the ending -- the cessation of hostilities in Ukraine, that would be a positive mark. The underlying trends in terms of reduction of or estimated reduction to be announced probably by the ECB a bit later on today. Continued declines in interest rates will be a positive, continued decline in inflation will be a positive. And at some point, if U.S. leads the way and starts to produce growth and distribute that growth as it normally does, Europe will follow along after some delay. So the timing is difficult to estimate, Mark, but we really don't see anything structurally broken in Europe and in particularly in Northern Europe. We still see this as a cyclical downturn, a very challenging cyclical downturn. And lastly, I would say, these changes that we heard about in terms of the action plan to really deregulate and make it easier to do business in Europe. Make sure that they invest in their workforce and upskill and reskill and prepare for the green transition and support the green transition as well as the advent of AI, we think are positive steps as well. And I could really sense urgency and clarity that this was becoming very, very important from a policymaker perspective. And then finally, coming to France, France has been in a politically very turbulent environment. The prior government lasted only a short time after presenting an aggressive budget that would reduce the deficit. The new government has taken a slightly less aggressive view on the budget and that is supposed to be voted on in March. And they are still trying to find a way to ensure that this budget gets the approval from all the various parties. And we think that it's hard to tell, it's difficult in terms of predicting what that outcome would be. But all the parties in France know that no elections can occur before June. So, I guess -- my guess would be that the likelihood that it passes it could come to pass in March. But we will continue to monitor the situation very carefully in France because it is going to be an important aspect of how we move forward. And just as in the U.S. and elsewhere, it's all about employer confidence. And the trends that we are seeing in France are impacted by employers that are still anticipating an economic growth in 2025, although more subdued than would have been forecast maybe eight months ago. So they're still thinking this is going to be a growth economy, but they are very hesitant in terms of adding to their payrolls. And into your last question on taxes, I'll switch it over to Jack.
Jack McGinnis: Yes. On the tax rate, Mark, it really is too early to tell at this stage. We do know that as part of the updated budget, there is a component in there that would implement a higher tax rate for large companies, we would fall into that bucket. But it really, there is a lot of discussions happening on components of the budget. So it's really hard to say what that is going to be. As I mentioned in my guide, it's not in our forecast. Any change to the current French tax -- corporate tax rate is not in -- is not factored in. If something does get enacted, as Jonas mentioned, through the beginning of March, we will adjust our effective tax rate for any changes coming out of any enacted rates -- rate changes in France as part of the new budget.
Mark Marcon: Great. Can I sneak one more in? Just on the dispositions, we've had Korea, now Austria, any more anticipated? And can you discuss the pros and cons of those dispositions?
Jonas Prising: Well, Mark we're always looking at our geographic portfolio of where we're present with our own subsidiaries or where we think that maybe a different setup would be more beneficial for value creation. And our estimation was that Korea is a country that is where we have a strong business. But the outlook in terms of its growth rate, the stability over the country in terms of what can happen in terms of legislation affecting our industry was less promising. And we had a very good partner that we could move with that is going to be able to compete better in those local markets. And this has been a process that we've been looking at each country, looking at our geo footprint is something that we've been doing for a number of years, optimizing this footprint so that we really maximize our value-creation opportunity in many markets. And over the past number of years, we've transitioned about 17 countries to franchise operations. And in most of those cases, they have actually seen some very good progress and we're very pleased with how this has evolved. And as you can imagine, there have been other circumstances such as Russia where we in a timely way exited that market just ahead of the invasion. So we take a balanced view of opportunity, value creation as well as risk, and we will continue to make that assessment also in other markets. And we will, of course, keep everyone informed of when we make any changes to that geo portfolio.
Mark Marcon: Super. Thank you very much.
Jonas Prising: Thanks, Mark.
Operator: Thank you. Our next question comes from Trevor Romeo with William Blair. Your line is open.
Trevor Romeo: Good morning. I appreciate you taking the questions. One thing I wanted to dig into was the Talent Solutions brand. And I think it's back to year-over-year growth for the second consecutive quarter now. You got some nice positive trends in RPO and MSP, it sounds like. But at the same time, the staffing businesses are still challenged. So just kind of wondering if you could talk about what's driving the improvement in MSP and RPO and how you reconcile the difference in trends versus the staffing business there.
Jack McGinnis: Trevor, this is Jack. Yes, I'd be happy to talk to that in terms of some of the trends I talked to when we were going through the brands. Maybe starting with MSP within Talent Solutions. So MSP has been growing steadily the entire year. And actually, we started the year closer to flattish. And then as we've talked about, every quarter has actually gotten stronger from that point forward. So really strong double-digit growth in the fourth quarter, higher than the growth level in the third quarter. And so our business just continues to perform very, very well in the market. We view ourselves as the leader of MSP and it's certainly coming through in the trends that we've been seeing. RPO crossed over to growth in the fourth quarter globally for us. So after some significant declines in the first half of the year, which reflected the markets, we moved to a very modest decline in Q3 and then crossed over to growth in Q4. And RPO has been strong, particularly in our U.S. business. We did mention in our prepared remarks, we had some select clients that actually had some very good seasonal ramp-up work through the fourth quarter. So that was a bit of a bright spot. Still are not seeing broad-based hiring increases in line with what Jonas was talking about earlier, but we are encouraged by the select programs that have been quite strong and we'll continue to monitor more the broader side of that. And then I'd say lastly on Talent Solutions, Right Management, after growing pretty consistently in the first nine months of the year, we did see outplacement volumes start to soften in the fourth quarter. So we did move into a very slight decline from a revenue perspective, closer to flat on an overall GP dollar progression year-over-year. And that's just reflecting what Jonas was referring to earlier, driven by the U.S. that outplacement activity has started to reduce, which we'll see. That's an early indicator in someways for hopefully our staffing businesses, but that's really what we've been seeing on the Talent Solutions side. So it's been really good to see that overall growth in the second half of the year and we take that into the beginning of 2025.
Trevor Romeo: Great. Thanks, Jack. That's helpful. And then for my follow-up, just had one on APME. I think you're guiding in organic constant currency kind of down 1% to up 3% versus the up 7% you did in Q4. So could you just kind of speak to your outlook there? It sounded like Japan is still pretty solid. So is there something else that's a bit of a headwind in Q1 or is that just a little conservatism? And how should we think about that? Thanks.
Jack McGinnis: Yes. No, I think it's exactly as you were indicating. It's a slower seasonal start in Q1 for us, we feel really good about APME and the trends. Japan continues to just perform extremely well. We expect good steady growth in Japan in the first quarter. And -- but with that being said, the region does see unlike what we were talking about in terms of Europe and in parts of North America, they did see some good seasonality in Q4, which resets as we start contracts up. So that's really it. We're not really seeing any big directional changes. I think good steady progress. India performing really, really well. We've done a great job on bottom-line margins in that market. And Jonas talked about South Korea, but we take a very, very strong franchise fee into the future. So as that market continues to grow, we will benefit from that with a very strong franchise fee on that business growing into the future as well. So no, we feel good about APME and it's really just more -- just resetting contracts and ramping up in the first quarter.
Trevor Romeo: All right. Thank you very much.
Operator: Thank you. Our next question comes from Kartik Mehta with Northcoast Research. Your line is open.
Kartik Mehta: Hi, good morning. Jack or Jonas, just you've talked a little bit about capacity, and Jack you've talked about trying to maintain capacity and cost cuts as you try to figure out what's going to happen in the future. I'm wondering, is there a way to look at where you are from a capacity standpoint, both here in the U.S. and then maybe some of the European countries where -- which are bench countries for you?
Jonas Prising: Well, Kartik, I think we've been very careful in managing both costs and preserving firepower so that we're able to take advantage of improving market demand. And we manage this in a way that you can see from an SG&A perspective, we're not reducing our costs in line with the reduction in GP. And so we believe we have ample space to actually take advantage of and improve the demand environment in Europe and the U.S. And we've done that intentionally, of course, because we know how these cycles evolve. And it's very important to maintain strength in the market, stay focused on our clients and candidates and our associates, and drive a very strong pipeline. And we've been very pleased with the evolution of our sales pipeline. It's grown significantly over the last 12 months. Now in an environment like this, those wins in that pipeline translate into maybe smaller deals, they take longer to close, they don't accelerate as quickly, but when the market turns, then that becomes a really, really good foundation for some strong market and revenue performance. So we've been very mindful of maintaining our strength in the market yet also protecting the bottom line. So to finding that balance is what we talk about every day for all of those markets where we're being and we're seeing challenging operating environments.
Kartik Mehta: And then just as a follow-up, just the pricing environment, I know up to this point, you've not seen a lot of increased competition even though maybe the fundamentals aren't as good as you would like or the industry would like. And I'm wondering if there is been any change in the pricing environment.
Jonas Prising: It always remains a competitive pricing environment, but at the same time it's been rational. As you heard us say in our prepared remarks, the slight decline in margin -- GP margin that we saw was related to mix. And I think this has a lot to do with the increasingly structural talent shortage and low unemployment that we're seeing both in the U.S. as well as in Europe. So demand -- the importance of talent and the difficulty of talent and the expense of finding talent remains high and therefore clients really appreciate the quality of the specialized skills and the talent that we bring to them. And I think that is an indication that this is a bit of a difference compared to prior industry cycles that we're seeing in terms of the price stability at least at this point.
Kartik Mehta: Thank you for your time. I really appreciate it.
Jonas Prising: Thank you.
Operator: Thank you. Our next question comes from Tobey Sommer with Truist Securities. Your line is open.
Tobey Sommer: Thank you. I was wondering if you could give us some additional comments on European changes to be more competitive and close the gap in economic growth. Are there specific changes with regards to temporary worker rules or something that you could really latch on to that would be relevant in a catalyst for growth at Manpower?
Jonas Prising: I would say, they are following the blueprint of the so-called [indiscernible] plan, which was presented to the European Union as the idea of how to regain Europe's competitiveness. And it's a five-pillar plan. It talks about in emphasizing the importance about growth industries, making a green transition, which from a European perspective means eventually having access to cheaper energy. Also, and this relates, of course, to our business, making sure that a skilled workforce is available. And you've heard us say in the past, that the defining challenge of our time will be to reskill and upskill the workforce at scale at a speed that we've never done before. And of course, that from our perspective is a really, really good opportunity, the continued investment in innovation and then finding the right positioning, the geopolitical strategy for Europe is the fifth pillar in really finding the right place for Europe and how Europe can compete with 450 million citizens. It is a very large 27-country economic block. But in many cases, it's still acting as a collection of 27 countries, and getting them together to compete better in this changing multipolar world is a big imperative. So I would say the focus on developing a skilled workforce is, of course, perfectly aligned with our own strategies of developing reskilling and upskilling programs such as Manpower -- our Manpower brands, MyPath program, and our Experis Academy. So moving towards more specialized higher-level skills that our clients are looking for today and we'll increasingly look for into the future. At the same time, I would say that our form of flexibility is still a very strong form as far as companies are concerned in a restrictive labor regulation that we're seeing across Europe. Our form of responsible flexibility where we're paying for training, we're providing employment to millions of workers across Europe as an industry. We don't see anything in the five-point plan that is changing the regulations. But of course, that is also subject to country legislations. But since we are on that point, I would say at this point, we're not seeing any changes to any regulatory environment in Europe that will be detrimental to our industry. And frankly, as we're talking about deregulation and making things more business-friendly across Europe, we can only think of that as being positive for our business going forward when it happens.
Tobey Sommer: And then my follow-up, in bench countries such as Germany, have -- your restructuring efforts and actions positioned the company to be profitable at sort of current demand levels, or did you need demand to improve for that level of profitability to kind of flow-through?
Jonas Prising: Germany has been one of the countries we've spoken about where we have significant challenges. And we've made good progress last year this time, you heard us talk about a significant change where we're addressing structurally how we compete in the German market and moving out of our Proservia business, which we feel very good about, making sure that we focus our efforts and our resources in areas where we can win in the market. And we still have a long way to go in Germany. The country is in a big slump and PMI is the -- lowest PMI of all major European countries and it's the longest post-war industrial declining environment. So it's been -- it's a -- it's tough sledding in Germany right now for the country as well as for our industry and ourselves. So we need to drive more demand and continue to look at just as you saw in this quarter, what it is that we need to do to fine-tune our operations and make sure we become more efficient, effective as well as making sure that we are competing well in the market. So more work to do.
Tobey Sommer: Thank you.
Operator: Our next question comes from Josh Chan with UBS. Your line is open.
Josh Chan: Hi, good morning, Jonas and Jack. Just two quick ones from me. So first one, circling back to the portfolio question. So as certain countries experience steepening losses, does that change what you think about that country's viability of Manpower? And then I guess, structurally, do you feel like you have to be in certain countries in order to serve kind of your global client base? Thank you.
Jonas Prising: Well, let me start with the second part of your question first. Sometimes it's beneficial to have our own subsidiaries in different markets, but sometimes we're able to meet the client's needs and see better growth opportunities than value-creation by finding different formulas such as franchising our Manpower business and really going after the market in a different way. And as Jack said, then being able to collect franchisees and help the country continue to proceed. And I'd say that we look at that with through the lens of a few things, the size of the market, the complexity and the estimated complexity in terms of regulations going forward, the political stability, the general risk environment, and what it is that we need to focus on in terms of directing our resources to the countries that require more resources. So it's really a balance of various items. And as you've seen in the past, we've taken significant actions in many countries where we feel we need to be able to compete better and we just talked about Germany being one of them. And we keep evaluating what it is that we need to do to win in the market and make sure that we can service our clients and candidates in the best way possible and generate profitable growth. So that's something that we do on a continuous basis and you can expect us to continue to do so as we navigate through this challenging environment.
Josh Chan: Okay. Thanks for that color, Jonas. That's helpful. And then my second one is on corporate expense. I think Jack mentioned that's been curtailed in the last couple of quarters. I just wanted to ask about the sustainability of this lower level of corporate expense and kind of how do you expect that to trend going forward. Thank you.
Jack McGinnis: Josh, yes, I'd be happy to talk to that. Yes. So we did -- we did continue to invest in our transformation programs and that is coming through in corporate. But you have seen us pull back spend elsewhere. And I'd say as we go into 2025 in the current environment, I think that's going to be -- continue to be the name of the game a bit, balancing the investments in the transformation with areas where we could help fund that by pulling back other spend. I would expect -- as we talked about last quarter, there were some one-off items that benefited corporate in Q3. Year-end, it was a bit lower based on our pullback. I would expect as we go into next year to see levels consistent with what you saw this year. We have a lot -- a big push on the transformation. As we've talked about before, a lot of countries moving through a transformation of back office, which is great, is going to position us really, really well in 2026, but there is a lot of work happening in 2025. So I'd expect corporate levels in line with what you saw this year for the most part with the exception of Q3, which was abnormally low for the reasons we talked about last quarter.
Josh Chan: Great. Thank you both for the color and the time.
Jonas Prising: Thanks, Josh.
Operator: Thank you. Our last question comes from George Tong with Goldman Sachs. Your line is open.
George Tong: Hi. Thanks. Good morning. In the U.S., you mentioned that first-quarter revenue could experience a further decline than the fourth-quarter trend. Can you describe what you're seeing that could cause trends to worsen in the U.S.?
Jack McGinnis: Yes. George, there is really a couple of considerations around that. I think I talked about the fact that we had a very strong RPO finish to the year in the U.S. A lot of that was seasonal. And so that's going to roll off as we start the first quarter. That's one consideration. We still have those clients. We will -- we would anticipate strong seasonal work from them again, but it doesn't fall in the first quarter. So that's part of it. The other part of it on the Experis side that we talked a lot about last year was healthcare, IT, and particularly the go-lives that we do there. That is a little harder to forecast and is a bit a bit bumpier in terms of exactly when that comes through. I'd say what we saw last year was some pent-up demand that came through very strongly in the first quarter. We will have -- we are seeing good healthcare, IT work this first quarter. It may not be at the exact same level as last year. That's another consideration. But as Jonas said, I think underlying -- when you take that out of the mix, underlying activity is relatively stable. And we continue to be very encouraged by the progress on Manpower. So with that being said, there is a reset that happens on a lot of those contracts, which causes a bit of a ramp-up as we get into the first quarter. So seasonally, you'll see that step back a bit sequentially. But with all that being said, I think we feel good about stability in the U.S., as we discussed earlier.
George Tong: Got it. That's helpful. And then most of your restructuring charges in the quarter were in Northern Europe. Can you discuss what's been restructured to date and whether you think more actions may be necessary based on prevailing hiring conditions?
Jack McGinnis: Yes. As I said, George, I think where we've taken the restructuring are in the markets that we've been talking about that have been the most challenged. So Germany, top of the list. I'd say other markets that we continue to look at the cost base in Q4 and Q3 were the Netherlands and the Nordics as we looked at Norway and Sweden, and we've talked about the declines in those markets. The other one, of course, is the U.K. U.K., we've done a really nice job improving the profitability of our U.K. business. But with demand down so significantly in that market, we've taken additional actions in the fourth quarter as well. And so I think we feel good about the changes we've made there, that is going to help us to preserve profitability. And as we go forward, George, it's really hard to say at this point. It's going to depend on how those markets continue to evolve. I think we feel good about the changes we've taken so far based on the current environment. If the environment changes, if it starts to improve, then we're going to hold back and really run those markets very efficiently, which will help us really maximize profitability in the short term. And if -- and if that doesn't play out and things continue to drift down a little bit, then you should expect that we're going to continue to look hard in those markets. But that's how I would position it. I think we feel really good about the remaining markets. We did talk about areas we're investing as well. We're investing in Italy. Italy is a great market, continues to be a very strong market for us. We're investing heavily in Japan as well. So it is a balance and we are continuing to monitor conditions in all of our major markets.
George Tong: Got it. Very helpful. Thank you.
Operator: Thank you. That concludes the question-and-answer session. I'd like to turn the call back over to Jonas Prising for closing remarks.
Jonas Prising: Thanks, everyone, for all your questions and for participating in today's earnings call. We look forward to speaking with all of you again as we discuss our first quarter results in a number of months from now. Until then, thanks again, and look forward to seeing you soon.
Operator: Thank you for your participation. This does conclude the program and you may now disconnect. Everyone, have a great day.